Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everybody to the Energizer Holdings Fourth Quarter and Fiscal 2013 Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to Jackie Burwitz, Vice President, Investor Relations. You may begin your conference.
Jacqueline E. Burwitz: Thank you, Michelle. Good morning, everyone, and thank you for joining us on Energizer's fourth quarter and fiscal 2013 earnings conference call. With me this morning are Ward Klein, Chief Executive Officer; and Dan Sescleifer, Chief Financial Officer. This call is being recorded and will be available for replay via our website, energizerholdings.com. During our prepared comments and the question-and-answer session that follows, we may make statements about our expectations for future plans and performance, including future sales, earnings, capital expenditures, advertising and promotional spending, product launches, the amount and timing of savings and costs related to restructurings and other initiatives, the amount and timing of changes to our working capital metrics, the impact of price increases, currency fluctuations, tax rates, raw materials and commodity costs, category value, acquisition or integration plans and future plans for return of capital to shareholders. Any such statements are forward-looking statements, which reflect our current views with respect to future events. These statements are based on assumptions and are subject to risks and uncertainties, including those described under the caption, Risk Factors, in our annual report on Form 10-K filed November 20, 2012. These risks and uncertainties may cause our actual results to be materially different from those expressed or implied by our forward-looking statements. We do not undertake to update these forward-looking statements even though our situation may change, and these forward-looking statements represent our views as of today only. During this call, we will refer to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is shown in the press release issued earlier today, which is available in the Investor Relations section of our website, energizerholdings.com. Management believes these non-GAAP measures provide investors valuable information on the underlying trends of the business. With that, I will turn the call over to Dan for a review of the results for the quarter.
Daniel J. Sescleifer: Thanks, Jackie, and good morning, everyone. I will first take a few minutes to review our results for the first -- for the fiscal fourth quarter. Adjusted earnings per share for the quarter was $1.38 a share, down $0.38 or 22% versus prior year. The decline versus year ago was primarily driven by the sales shortfall in Household Products due to the loss of distribution at 2 U.S. retail customers, which we discussed last quarter. In addition, A&P spending increased $22 million, as we began to reinvest some of our savings from our restructuring program. And finally, we had a $10 million net unfavorable impact from foreign currencies. On the positive side, we did see a return of organic sales growth of nearly 3% within Personal Care and realized approximately $47 million of gross savings from our 2013 restructuring program, which helped to provide an offset to the shortfalls mentioned above. Before moving onto a breakdown of the P&L, I would like to take a minute and talk about some of the details behind the 2013 restructuring savings. For the quarter, approximately $26 million benefited gross margin and approximately $18 million resulted in a reduction to overheads. For the year, those numbers were approximately $48 million and $46 million, respectively. These savings were driven by headcount reductions, procurement savings, the early stages of facility closings and streamlining and other cost savings initiatives. This morning, we posted schedules in the Investor Relations section of our website to provide a further breakdown by P&L line item and by segment. Now onto the P&L. For the quarter, the organic net sales decline was consistent with our expectations, down nearly 5%. Personal Care organic sales were up nearly 3% but were offset by a 13% decline in Household Products due primarily to the distribution losses discussed last quarter. Gross margin increased 210 basis points, excluding the impact of currencies and restructuring related costs. This is tremendous progress and is a direct result of the benefits derived from the restructuring program and lower product costs. A&P spending increased $22 million or 270 basis points as a percent of sales. The accelerated restructuring savings allowed us to make incremental investments behind our brands, which plays an integral role in driving long-term top line growth. Overheads also benefited from our restructuring program, decreasing more than $7 million versus prior year. Rightsizing our cost structure was a focus of our restructuring program, and we expect to make continued progress going forward. Interest expense and other financing were modestly improved versus prior year due to lower average debt outstanding and increased foreign currency hedging contract gains, respectively. Additionally, we recorded a $70 million pretax curtailment gain in the quarter related to discontinuing certain post-retirement benefits. This gain is driven by actuarial accounting rules and is not included in our adjusted earnings per share numbers. Finally, the effects of -- effective tax rate in the quarter was 34.2% due in part to the impact of the curtailment gain. For the full year, the effective tax rate was 28.3% and was 29.5% on an x unusuals basis. This compares to 29.1% on a similar x unusuals basis in the prior fiscal year. Now I'll highlight just a few areas from our segment results for the quarter. In Personal Care, organic sales increased nearly 3%, split almost equally between volume and favorable pricing mix. Our North American sales were up nearly 4% after 5 consecutive down quarters. And our international sales continue to post gains throughout the year. The main drivers behind the organic sales increase were Wet Shave sales up 4% and Fem Care sales up 10%. Within Wet Shave, sales of our Hydro franchise increased $22 million. This increase was partially offset by lower sales of shave preps and lower legacy system sales due primarily to heightened competitive activity. In Feminine Care, higher sales of Sport were partially offset by declines in Gentle Glide. The gains in Wet Shave and Feminine Care were partially offset by declines in Infant and Skin Care. Excluding the impact of currencies, segment profit increased 12% due primarily to the margin impact from higher sales and $11 million in restructuring savings that were realized in the quarter. For Household Products, organic sales decreased 13% due primarily to the loss of distribution in 2 U.S. retail customers mentioned earlier and the exit from noncore product lines that occurred early in fiscal 2013 as part of our restructuring program. In addition, the prior-year fourth fiscal quarter results included approximately $7 million in Hurricane Isaac-related sales. We expect top line declines to continue through the first 3 quarters of fiscal 2014 as a result of the distribution losses and overall revenue to decline in the mid-single digits for the full fiscal '14 fiscal year. Segment profits in Household Products decreased $28 million in the quarter, excluding the negative impact of foreign currencies. Sales declines and increased investment spending were partially offset by savings from our restructuring programs and favorable product input costs. In summary, fourth quarter sales and EPS were in line with our expectations. However, restructuring savings were larger than our revised forecast. The accelerated savings allowed us to make incremental investment in our brands, which we believe will help drive top line growth over time. With that, as an overview of the quarter, I will now turn the call over to Ward.
Ward M. Klein: Thanks, Dan, and good morning, everyone. Overall, fiscal 2013 was another successful year for Energizer Holdings. Adjusted EPS increased more than 12% to $6.96, which is at the high end of our outlook range. In addition, fiscal 2013 performance marked our second consecutive year of double-digit adjusted earnings per share growth. We also delivered on our commitment to return cash to our shareholders by raising the quarterly dividend 25% to $0.50 per share. Contributing to the successful year was significant progress in our 2013 restructuring project and working capital initiatives. We realized over $100 million in gross savings from our restructuring initiatives. This is well ahead of our original assumptions. Headcount reductions have come earlier than originally expected. We have already eliminated nearly 1,400 positions, over 90% of our total project estimate of 1,500. We continue to make significant progress with the status seeing a center-led procurement team, and results are exceeding our expectations. The timing of manufacturing footprint changes remains on schedule. Our St. Albans, Vermont plant closed on September 30, and our Maryville, Missouri plant will close on December 31. In addition, organizational structure changes within our international markets are in progress and will continue to be implemented throughout fiscal 2014. We remain focused on delivering on our original project objectives and are currently evaluating additional opportunities that provide for increased financial flexibility to offset future volatility and allow for incremental investment in our businesses. In addition, we surpassed our targeted working capital reduction goal by achieving a 480-basis-point reduction versus the 2011 baseline established at the beginning of our initiative. This equates to over $250 million reduction in average working capital over this time period. Freeing up cash has allowed us to further invest in our business and return additional cash to shareholders. The share loan, our strong free cash flow, allowed us to increase our quarterly dividend by 25% to $0.50 per share to pay $105 million in annual dividends and reduce our debt by $295 million, while also incurring over $100 million in cash restructuring costs. We continue to identify additional opportunities to further reduce our working capital and expect to make additional progress as this continues to be an area of focus. Now turning to the business results. Aside from the top line shortfall within Household Products, I'd like the shape of our P&L as we finish the fiscal year. We saw a return of top line growth in Personal Care of close to 3%. We realized gross margin expansion of 210 basis points in the quarter and 90 basis points for the full year due primarily to the benefits of restructuring savings and lower product costs. Overhead spending was below year-ago levels, and we saw a significant uptick in our A&P spending, up $22 million in the quarter and up 270 basis points as a percent of net sales. However, we're obviously, disappointed in the loss of the 2 U.S. retail customers we mentioned during the third quarter call. It is important to note that volatility in the battery business is exactly why we aggressively executed our restructuring program and continue to diversify our portfolio through acquisitions. We needed the savings to provide offsets to the bottom line and to provide funds necessary to invest behind our brands, and we have delivered both. Turning to Personal Care. The categories in which we compete remain very competitive. We estimate that our main competitor has increased spending by $172 million in Wet and Fem Care in the U.S. alone in its last fiscal year. Despite this, we have essentially held Wet Shave share flat within U.S. and globally over the past year. For the year, the Hydro franchise, men's, women's and disposables, achieved over 20% growth, approaching $0.25 billion in global net sales. Within the U.S. market, Schick's men's system share continued to exceed 10%, marking 28 straight months at or above a tens share. In women's systems, Hydro Silk achieved over 1/8 share of total women system, almost -- up almost 3 points versus a year ago. Importantly, Hydro Silk refills experienced a 34% repeat rate, the highest repeat rate of all the women's systems launches in the last 10 years. Since the launch earlier this year of Hydro disposable, it has driven growth of $1.8 share points for total share disposables. Hydro disposables has exceeded expectations, has driven total disposable razor category growth of almost 5% this year and has been incremental to the Hydro platform. In Fem Care, the tampon category was down slightly. However, Playtex beat category trends behind increased promotional support in the launch of Sport Jumbo X. Sports' fourth quarter shares today, a record-high of 11.2%, up 1.5 points versus a year ago. Our international Sun Care sales continued strong year-over-year organic growth of almost 7% in the quarter and 12% for the year as we continue to focus on expanding this business internationally. In summary, we are pleased with the strong results from Personal Care during the fourth quarter. Turning to our initial financial outlook for fiscal 2014, we are estimating mid-single digit EPS growth in the range of $7.25 to $7.50 on an adjusted earnings per share basis. On the heels of consecutive double-digit adjusted earnings-per-share growth years and in light of significant headlines we face within our Household Products business and unfavorable currency rates, we believe this is an appropriate outlook for the coming year. Included within this outlook are the following assumptions: continued benefit from the restructuring savings; low-single digit organic sales growth within Personal Care, excluding the impact of the acquisition; mid-single-digit organic sales declines in Household Products as we realize the full year impact from the loss of distribution of the 2 U.S. retail customer. As we look at the quarterly cadence of earnings, we expect EPS growth to be in the back half of the year as the sales comps in the first half will be materially negatively impacted by the customer losses and the first quarter Hurricane Sandy response sales in fiscal 2013. In a separate release today, we announced the addition of James Johnson to our Board of Directors. He has joined the board effective immediately and is serving on a Nominating and Executive Compensation Committee. James is currently the General Counsel of Loop Capital and serves on the boards of Ameren and Hanesbrands. We welcome him to the board and look forward to his many contributions. Before closing, I wanted to make a few comments about the recently announced closing of our acquisition of the Stayfree pad, Carefree liner and o.b. tampon feminine hygiene brands in the U.S., Canada and the Caribbean. We believe these brands provide a solid compliment to our existing Playtex Feminine Care brands and strengthen our overall Feminine Care product portfolio. In fact, the inclusion of these brands within our existing Feminine Care portfolio makes this one of our largest product categories comparable in size to our global Sun Care business. Although we expect only modest earnings accretion in 2014, we believe that this acquisition aligns with our diversification strategy and strengthens our overall Personal Care business. In closing, our primary objectives for fiscal 2014 will continue to be restoring growth in Personal Care, expanding distribution within Household Products, integrating the acquisition with our existing Playtex Feminine Care business and executing against our restructuring and working capital goals. We are confident that we can achieve our mid-single digit adjusted earnings per share growth off of 2 very strong years, while continuing to invest to help drive long-term growth. Operator, you can now open up the line for questions.
Operator: [Operator Instructions] The first question today, we have, come from the line of Bill Chappell from SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Just -- and I understand on the Household Products side, on the guidance, I'm just trying to couple the down double digits you saw in the September quarter, and with only being down kind of mid-single digits for the full year of '14, especially when you got the hurricane, it sounds like you exited some business, and I'm not sure if currency gets much better. So can you help us understand what kind of the puts and takes to get to that mid-single-digit decline in 2014? And then also, as you look at restructuring and as you talk about maybe finding more savings, is the footprint the right place for battery? Or do you need to cut further in terms of capacity utilization?
Ward M. Klein: Yes. Let me -- 2 good questions. I think the sales expectations for Household are so much shaped as we have described by the loss of these 2 customers and a big Hurricane Sandy that we'll be annualizing through this current first quarter. And so I think it's reasonable to expect still a significant negative trend on Household, first quarter this fiscal year, as both customer losses in Hurricane Sandy kind of double up on each other. The declines then start to abate as you go to the second and third quarter. By fourth quarter of the fiscal year, you pretty much have annualized through the customer losses. And in our expectations, we normally don't budget in expectations for hurricanes, just to hit and miss, so there is no real hurricane or storm expectations in the number we've given you for fiscal '14. As for your second question, as to footprint, we have materially changed or are in the process of materially changing the footprint as described with the closure really of 2 important facilities this year, the St. Albans, Vermont facility in September and the Maryville, Missouri facility in December. As we go forward, it continues to consolidate our battery footprint to a very few, very large global facilities that run very well, have for many years and benefit from the absorption of these overheads through pouring increased volumes into those remaining facilities. So we continue to look at footprint and throughout everything we do. But those are the kind of main drivers right now.
Daniel J. Sescleifer: Bill, this is Dan. Just to give a little bit more background on your first question. We gave a roadmap back at the last quarter's release to talk about why we expected sales to be down for household greater than 10%. And roughly about half of the decline is really due to the customer losses, but there are a number of other items -- there are some timing items, there are some shipments for this quarter that actually pushed or pulled into Q3. Last year, we had some Christmas orders in this quarter or in the fourth quarter that actually this year will be in the Christmas season. So there were a number one-offs. And added that, as Ward said, was the Hurricane Isaac a year ago and there was no hurricane this year and the discontinuation of products. So we didn't want people to think the whole 13% is an ongoing. It's up to about half of that for the quarter. And for Q1, given the Christmas season, that's going to be the biggest decline year-over-year for the customer losses, and then Hurricane Sandy is going to make it much larger and it'll abate as the year goes, the decline will abate as the year goes on.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Thanks. That helps. And Dan, while I have you, could you throw up ideas for interest expense and tax rates for 2014?
Daniel J. Sescleifer: Yes. Tax rate is going to be somewhere in the 29%, 30% range, is what we're estimating. And interest expense is going to decline as we pay down debt and we have some maturities issues we don't have a lot. But I wouldn't may be similar to what you saw this year.
Operator: The next question we all comes from the line of Bill Schmitz from Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: I'm having a tough time at appraising for the J&J deal. So can we just walk through some of the assumptions? Because you have, first, are the -- is the purchase accounting adjustments and the financing cost, all the transaction costs? Are they going to be pro forma? Are you going to include those in that new guidance you gave? And then if I look at some of the public comps in terms of margins in Fem Care, we know the segment margin for the Playtex business you bought was in, like, the low 30%. And then P&G just restated some of their segment data, so you can kind of back into their Fem Care margins, and they're also in that sort of 30% to 34% range. So what's the anomaly in the business you bought and kind of what's the opportunity and can you just clarify some of the accretion assumptions?
Ward M. Klein: Yes. So the accretion number we provided is really an x unusuals number. It's not going to include the onetime integration costs, which will be spiked out in the P&L. A couple of things going on. First of all, it's a business we're going to have to reinvest in. So we realize that, and so we are very conservative in our expectations from a profit standpoint. The other negative that's going to probably persist most of the year is the fact that we have a fairly heavy transition services agreement charge that we have to pay as long as it's on the J&J platform and not on ours, and we expect the transition off of that late in the year. But it's a pretty big drag. But we will offset from accretion standpoint, we will consider the interest expense that we incurred due to the acquisition.
William Schmitz - Deutsche Bank AG, Research Division: Got you. And how about those margin assumptions I've made, is this business that is similar to some of the other ones out there?
Daniel J. Sescleifer: I wouldn't say so. I mean, it's a lower-margin business on the gross margin side versus, really, almost everything else in our portfolio. And again, you tack on to that some of the A&P spending. I think you can understand why, at least, the accretion will be modest early on.
William Schmitz - Deutsche Bank AG, Research Division: Yes, but how about relative to comps? Do you have the same numbers as I have? And if you look at the margins as some of those are public comparables, they're pretty high on the operating line.
Daniel J. Sescleifer: I don't have those numbers in front of me, so I'm on operating side. So I really can't comment on that right now, but I'd be happy to take that offline if you want.
William Schmitz - Deutsche Bank AG, Research Division: Okay, great. And then just in terms of the restructuring, it seems that like you guys really haven't attacked promotional spending efficiency yet. So is there an opportunity there going forward to drive some significant savings, because I know it's a pretty big bucket if you look at your sort of gross sales in the P&L.
Daniel J. Sescleifer: Yes. The promotional spending is a big bucket, a huge bucket, actually, especially on the Household side, that's sizable as well as Personal Care. And as part of our overall efforts and especially, in some of the additional efforts we are looking at, some of the further efforts that go beyond what we've been doing that is very much an area of interest for us in terms of kind of a classic improving return on spend, return on margin investment, return on trade investment. Using some of the newer tools there in dissecting, are we just getting the most for it? So I would say those -- that bucket is under -- it is being looked at very seriously, as we go through 2014 and then into 2015.
William Schmitz - Deutsche Bank AG, Research Division: Okay. And then just one last quick housekeeping one. If you look at the quarter, there was $21.1 million sales from FX, but there was like $17 million of profit. And I know some of that came out below the line on the hedging side. What's the big driver of that because that's huge, right? I mean, it should be $3 million, $4 million of translation, and the rest seems like it's transaction. So is there any way to offset that? Were they anomalies in the quarter and how should we look at that going forward?
Ward M. Klein: Well, actually, the translation, in fact, is that if you add up Household Products and Personal Care, it's about $17 million for the quarter. And the yen is a big driver of that in the Personal Care side. And of the $9.5 million positive on the exchange gain, about $7 million of that is due to our translational hedging program. So what you really need to do is net the $17 million unfavorable at segment profit line with the $7 million favorable, and it's really a net $10 million unfavorable, which was in the script comment.
William Schmitz - Deutsche Bank AG, Research Division: Got you. So are you protecting the hedge -- the yen for the rest of the year similar with...
Daniel J. Sescleifer: Well, the way our hedging program works is it's about -- it's a 16-month program. We're a little under 50% locked in for next year, actually, at favorable rates. So we're exposed for the rest.
Operator: The next question we have comes from John Faucher from JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: In looking at the ad spending, I know you guys have talked about the focus on the new products, can you -- you'd still came in higher than what we were anticipating, can you talk a little bit in terms of maybe some of the return you're seeing on that? And how effective you think the advertising is behind the new products? And then going back to the comments on the Fem Care acquisition, where do you see the biggest need for reinvestment in those brands? Is it going to be R&D? Is it going to be straight-up advertising, straight promotion, what have you?
Ward M. Klein: Yes. Good questions. On the -- in terms of the increase in A&P and where we use it, how we use it, obviously, we have a preference towards spending on brand equity building. So think of that as advertising, whether it's classic advertising or digital. And we have a preference for spending that behind new products, and we have -- we continue to view Hydro as a new product platform. We're seeing substantial growth, continuing out of the Hydro platform, and we're seeing very good returns on our investment behind the Hydro platform. We're seeing similar positive experiences with product called Litter Genie, comes out of the Diaper Genie area, too much smaller than Hydro, but it's growing nicely. We're very happy with the repeat rate, customers satisfaction on that product and continue the work of building distribution and then awareness through advertising. So really, it's kind of the big goal for going through all these cost restructuring and cost reduction is to refill and boost these brand building efforts. These are all long-term brand building efforts, and it frankly has the organization fairly well energized, no pun intended, in terms of finding where we can just do things better so we can plow back into our businesses. And that, you're starting to see that in the fourth quarter with the increased A&P. We expect that to continue into '14 and to continue through '15, as we continue to reallocate from the restructuring effort some of those savings. John, I'm sorry. I'm just thinking of your second question now.
John A. Faucher - JP Morgan Chase & Co, Research Division: It was sort of asking a similar question on the Fem Care side.
Ward M. Klein: Yes. On Fem Care, the biggest challenges are kind of similar. These are great, classic brands with great technology behind them, great IP protection that we think there is an opportunity to pay a little focused attention on. And that focused attention will be evident both in terms of the support levels for the brands at the trade but, importantly, with consumers. So I think, again, kind of what our modus operandi on currently regular line of businesses will be applied to some of the J&J brands. So we'll just take some time, and as I thought Dan did a good job of outlining, we got to get through kind of service agreements and get to full integration on the way and get some stabilization on these brands. But we're very happy with the quality of the products that we picked up and, frankly, we think the equities are something that can be resuscitated with some delivered effort.
Operator: The next question we have comes from the line of Olivia Tong from Bank of America.
Olivia Tong - BofA Merrill Lynch, Research Division: [indiscernible] SG&A, I recognize that there was some lost leverage this quarter, and that the SG&A is a result was up relative to revenue. But it's also up sequentially in dollars too, so can you talk a little bit about some of the puts and takes there? And perhaps, can you give us a sense maybe of the FX impact, specifically to SG&A? And then the follow-up is, Dan, last quarter, you did make some pretty bold statements on cost savings. You said you're challenging the organization to identify new cost savings opportunities. Yet we didn't hear the cost targets, the savings targets for the full program having changed. Yet so -- did the -- is the process to try and identify these still in place? Or have you already concluded that?
Ward M. Klein: Yes. Let me answer the second question. We really have our plate full with the targeted savings of $225 million, and so we're really focused on completing that playbook at this point in time. But as we've said before, this is not a one and done. This is a continuous improvement, and it's going to be a cost savings mindset in areas that currently aren't or have not been scoped at least under the initial restructuring effort will be coming to scope down the line. And we'll update you as we proceed, but again, we have $80 million to $100 million of cost savings that we expect to experience here in 2014, so that's really what our focus is. And on the overhead, I don't have that in front of me, I'm going to try and find that here. I know that from an x currency, our overheads are actually down across both businesses. But as you mentioned the fact that we've lost on sales on a percent of sales business, certainly, negatively impacted us. But we are -- we did disclose within Investor Relations website, you can see that overheads are actually favorable quite a bit versus from transformers.
Olivia Tong - BofA Merrill Lynch, Research Division: Got it. And then just following up on the new board member addition, can you just talk a little bit about why you added him and what his background brings to this table?
Ward M. Klein: Sure. We're excited. We had an extensive process of looking to bring on a board member. We had some whose retirement is on the horizon at some point, and so to replenish the ranks. And in our betting, Jim came through, loud and clear, as someone that we are very interested in. And I think 2 of his real strengths are certainly on the legal side but was in a financial institution, Loop Capital. But also, importantly for us, kind of the international understanding and that's through many years of work at Boeing. And as you know, over half of our business or half of businesses is roughly overseas. And so it's an opportunity to strengthen, I think, those 2 areas in our board. And we're excited to have him.
Daniel J. Sescleifer: Olivia, just to give you a little bit more background, we're down about $4 million of quarter-over-quarter x currency on overheads for our Personal Care and about $8 million on Households. So again, it's loss of sales that makes that metric looks so good when you do it on a percent of sales basis.
Operator: The next question we have comes from the line of Chris Ferrara from Wells Fargo. The next question we have comes from the line of Kevin Grundy from Jefferies.
Kevin M. Grundy - Jefferies LLC, Research Division: So a couple of questions. First, just to kind of follow-up on John's question before the advertising and marketing spending. Are you guys comfortable with current levels, as well as your share of voice, as far as your relative to your market share in key categories? And understanding that it moved up in the fourth quarter you're relatively flat year-over-year as a percent of sales, and kind of going back to some of the past commentary, I think the hope was that you had probably been 150 basis points to deploy between trade promotion and advertising and marketing as, we move to the restructuring. So it'd be great to get your thoughts on should we expect it to move up this upcoming year and maybe you could put some parameters around that? Or is it possible that the trade environment is such, that competitive environment is such that it’s not going to move up materially when we come out of the other side of this restructuring program?
Ward M. Klein: Overall, I'm not happy with our A&P as a percent of sales. And that's why one of the major reasons why we're doing the restructuring is to increase that level of support of our brands for long-term growth. And in the fourth quarter, you started to see that. We are calling A&P. We'll continue to increase as a percent of sales in 2014. But we're not going to quantify that, and we're not going to quantify in which businesses we're doing it, obviously, for competitive reasons. But this is very much our intent to increase the support of our key brands, our innovation efforts. Our competitors are doing the same thing. We intend to remain competitive. We intend to deliver solutions to our customers and create customers better than anyone else, and that requires these kinds of resources. So that's our intent.
Kevin M. Grundy - Jefferies LLC, Research Division: Okay. And then, Ward, can you also give us a sense, broadly, of what the underlying category growth assumptions are in your guidance? And I know this is going to vary by geography and by specific category, but, just, broadly, the underlying category assumptions and whether you expect to gain market share, set aside the customer losses, of course, in batteries?
Ward M. Klein: I think our review on the battery category worldwide really hasn't changed. I think we are the first ones to call it out, and I think we've been proven right. We continue to call out really systemic declines on household battery globally, whether it's 1% to 3% or 2% to 4%, roughly in that range. And yet it is our intent on the Household side to hold our business and our profitability stable in that declining environment. You can do that through some share increase. You can do that through attacking the cost structure. Obviously, we're attacking the cost structure very aggressively. Some share will be given up in North America as a result of these customer losses. These were measured customers, we know that. But overall globally, our market share has actually been stable up in many markets and in many areas outside the U.S. And we do view it as a global category, not just a U.S. Nielsen-reported category. On Personal Care, I think that, that the verdict is a little bit more maybe than the surety that I already I gave on household. And as we've touched on previous earnings calls, the weakness in some of the Personal Care categories in the U.S., anyway, that we've seen are kind of unprecedented. And I'm really talking about razors and blades, in particular, although some of the other categories where we actually have seen some shrinkage in razors and blades, and still do. Interestingly, the most recent quarter for razors and blades, the data I looked at, is it continues to be down and primarily in the men's systems area. And we attribute a lot of that just to the deflationary discounting that's been taking place at pretty elevated levels over the past 12 to 18 months. Although you look at razors and blades, the subcategories, for example, disposables, where we just launched Hydro disposable this year. As you know, that is an example of us, through innovation, growing the category, so even thought total razors and blades may be down in the U.S., so disposables is up. So it's a little bit more of a mixed bag in the Personal Care from a category point of view. And we're going to continue to focus on innovation and grow in those parts where we compete.
Kevin M. Grundy - Jefferies LLC, Research Division: Okay. And just one more quick one, if I may. Dan, can you talk about the potential timing around the resumption of share repurchases?
Daniel J. Sescleifer: Our program is opportunistic. We didn't repurchase any shares during fiscal '13. We bought a lot of it into '12. And with all the restructuring efforts, it was not something we felt made sense last year. But all I can say it's opportunistic, and it's an area in the quivering, and it's still part of the capital allocation plan; going forward.
Operator: The next question we have comes from the line of Connie Maneaty from BMO Capital Markets.
Constance Marie Maneaty - BMO Capital Markets U.S.: I have a question on A&P spending and the restructuring savings. When I go back to your September 2012 announcement of what you expected in savings and what should be reinvested, I think you said that back then that 70% to 80% of the savings would drop to earnings. And with today's comments that A&P spending as a percentage of sales needs to rise, I'm wondering how this works. So do you think your restructuring program will generate above the target that you've most recently talked about? Or do you think you'll be reinvesting more than you initially thought?
Ward M. Klein: Connie, as you may recall, the original restructuring program called for $200 million in savings and $50 million of that being put back into the businesses for a net of $150 million. And then as you will recall, we increased that to $225 million with that $75 million of that $225 million going into supporting the businesses. And that's been the plan all along, and frankly, that one hasn't changed. I think the opportunity is if we can uncover additional savings above and beyond what we've identified so far, it's our intent to really direct most of that incremental savings into A&P. But of the original kind of the program that's underway right now, it's really $75 million out of $225 million, not 70% of the savings per se. So hopefully that provides a little bit more guidance on that.
Constance Marie Maneaty - BMO Capital Markets U.S.: Exactly. What do you think now that you're finding working capital savings? What do you think the potential for savings is in working capital?
Ward M. Klein: Well, it's been pretty enormous so far. Really, Dan's been leading this project and his team. I'll let him answer how much they've saved and what opportunities may exist.
Daniel J. Sescleifer: Yes. Connie, we think there's more to be had. We're down 480 basis points from our original level at the end of fiscal 2007, and so we're beyond the amount that we have committed to achieving. We think there are additional opportunities, really, across all 3 working capital items, and we're going after them. So we'll keep you updated. But I don't have an ultimate number in mind because we are very prescriptive in how we do it. We look at specific businesses and specific regions and where those opportunities are, and then we execute against those. And so it's really a matter of the original scope has pretty much been executed very well, and we're looking for additional opportunities. But we do expect that the working capital number to continue to decline.
Constance Marie Maneaty - BMO Capital Markets U.S.: Okay. And if I could just ask just one final question on the J&J acquisition. Now you've got 4 brand names o.b., Playtex, Stayfree and Carefree. How -- is there -- what are your initial thoughts on how to market these? Is there a way to bring them under sort of one umbrella so that consumers would shop everything you offer? Or do they just kind of go from one brand to the other and are sort of indifferent to you?
Ward M. Klein: Well, I think the brands stand on their own in a sense that, that is what the consumer most relates to. And we have the opportunity to strengthen all 4 brands. The real opportunities are in terms of just how we manage everything from upstream activities of our Fem Care business units to all the way down to planograms and trade promotion and in-store visibility and so forth. We have a much bigger presence now, and I think a much bigger say as we go forward, which we think can help benefit both the presentation of these different brands and each standing having quite strong relevance in the particular segments they're in. And then one additional kind of umbrella branding opportunities are maybe, which is maybe what you're alluding to in your question, I think that's -- that remains to be seen. Certainly, there could be an opportunity there, and the brand teams will be taking a look at those opportunities.
Operator: The next question we have comes from the line of Chris Ferrara from Wells Fargo.
Christopher Ferrara - Wells Fargo Securities, LLC, Research Division: So I guess, the first question on this quarter's gross margin, right, I mean, even with strong cost savings, I guess, it's a little surprising that Household gross margins were strong as they were up. I think you said 210 basis points on a down '13 organic number, right? So I guess I'm wondering, are there other big drivers there? I mean, is there timing issues? Is it possibly you didn't yet feel the manufacturing deleveraging of that down '13 in the gross margin of the quarter or were you feeling that all in all its glory already?
Ward M. Klein: Well, it's really -- I think our gross margin difference is really across both businesses. We had pretty favorable commodity prices, which occur on both the businesses which help. And then we're starting to see some of the benefits from Project Transformers, which is internally for the restructuring project, where some of the fixed cost from the plants are going away. We'll start seeing a lot more favorable impact in 2014 because of the plant footprint reduction and better utilization of the existing plants. So really, it is in line with what we expected.
Christopher Ferrara - Wells Fargo Securities, LLC, Research Division: Okay, great. And then I guess, as I look through your guidance, right? It seems like I know it's hard to do this, but net of savings and net of a negative FX? If you combine those 2, you're really looking for essentially mid-single-digit EPS decline on a core basis, x the acquisition on flat organic sales. So where is the spending going up in fiscal '14? I think you might have touched on A&P before, but is there something we should be thinking about '14 that would cause base margins x savings to go down like that? Is it A&P reinvestment or other stuff?
Daniel J. Sescleifer: Well, as Ward said, we're going to reinvest dollars, and A&P as a percent of sales, A&P dollars will be up. But it's really some counter willing forces. You have the loss of the customers at least at first 3 quarters of this year so all that margin loss on the household side being offset by pretty significant savings from the restructuring project. And as you said, Chris, we do have some currency wins especially for the first half of the year.
Christopher Ferrara - Wells Fargo Securities, LLC, Research Division: And one last thing, just going back to buybacks, right, and deals, when you look at hurdle rates on deals, on M&A, do you look at that relative to buybacks in other words, if you see a deal and it eclipses your hurdle rate, makes sense, you go back and look at the return you presume buyback and if it doesn't eclipse that, you do a buyback instead and I'm just wondering how you think about that stuff relative to each other?
Ward M. Klein: I would say that we always look at use of money for buyback as 1 option. And so when we're looking at an M&A transaction, certainly that is in consideration side, is that an M&A opportunity the best use of money versus a buyback, per se. But there are many factors that go into an M&A consideration and that really is only one of them. And so it's not a litmus test per se but we do it within the context of evaluating them.
Christopher Ferrara - Wells Fargo Securities, LLC, Research Division: So in other words, so the desire to diversify further away from batteries you see some leeway in that ROI decision internally, is that the right way to think about it?
Ward M. Klein: I guess. I mean, every deal stands on its own, and we all, in each deal, I think, in essence, we need to see a clear path. Adding value, that really kind of is the fundamental for us. If we don't see how we can add value, then we really question whether we should be using shareholders' monies for it. And if we can answer that question in terms of adding value and then also strategic fit, if it happens to contribute to our diversification efforts, that's great. If it happens to have a better short-term ROI than share repurchase, that's great. But again, there is a lot of variables that go into it.
Operator: That was our final question. I would now turn the call back over to Ward Klein for closing comments.
Ward M. Klein: Thank you, Michelle, and thanks, everyone, for joining us today and for your interest in Energizer Holdings. And with that, we're done.